Operator: Good day and welcome to SG Blocks’ Incorporated First Quarter 2021 Results Conference Call. [Operator Instructions] Please note, this event is being recorded. I would like to turn the conference over to Stephen Swett of Investor Relations. Please go ahead.
Stephen Swett: Good afternoon. Thank you all for joining us for our first quarter 2021 call. With me today is Paul Galvin, Chief Executive Officer of SG Blocks. A press release detailing our results was issued this afternoon just after the market close and is available on the company's website at www.sgblocks.com. Before I turn the call over to Paul, please remember that certain statements made during this presentation are forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. All statements, other than statements of historical facts contained in this presentation, including statements regarding the company's future operations and financial position, business strategy, and plans and objectives of management for future operations are forward-looking statements. In some cases, forward-looking statements can be identified by terminologies such as believes, may, estimates, continue, anticipates, intends, should, plan, expect, predict, potential or the negative of these terms or other similar expressions. We have based these forward-looking statements largely on our current expectations and projections about future events and financial trends that we believe may affect our financial condition, results of operations, business strategy and financial needs. These forward-looking statements are subject to a number of risks and uncertainties, and assumptions described, including those set forth in our filings with the SEC, which are available at www.sgblocks.com. You should not rely upon forward-looking statements as predictions of future events. We cannot assure you that the events and circumstances reflected in the forward-looking statements will be achieved or occur. Finally, this conference call is being webcast. The webcast is available in the Investor Relations section of our website. Now I will turn the call over to Paul.
Paul Galvin: Thank you Steve. I’m extremely pleased to report that SG Blocks had another record quarter and we are on track to another record year. The work we did in 2020 set us up to reap the benefits at the bottom line and our results demonstrate the progress we have made in all fronts. First quarter revenue set a new benchmark, and it comes on the heels of an explosive Q4 2020, which produced $7.4 million in revenue. In total, the past six months have generated in excess of $16 million in revenue. And we believe we can sustain our momentum into 2021. Last year, we made the decision to raise growth capital proactively, control our means of production, and build a pipeline for growth. We have built out multiple verticals, and we now control our own destiny by focusing on the best opportunities we see. We thank our staff, consultants, attorneys, partners and board for their focus effort. Let me now discuss recent activity. In our medical testing and services vertical, we are now providing innovative structures, labs and testing strategies deployable at key locations for much needed point of care, access to healthcare. Our award winning detect lab has proven to be highly functional, and deployable as a cost effective solution to solve local healthcare needs. In January, we executed an agreement with National Pain Centers to provide COVID-19 testing for passengers, airport employees and the public at-large near Chicago’s O’Hare airport. Our facility was subsequently re-leased to a consortium of government entities at a profit, demonstrating the value of our services and the location in which we can quickly deploy. In May, we announced our collaboration with Stone Clinical Laboratories to provide COVID-19 testing services at the Food Network's annual Wine & Food Festival in Miami’s, South Beach for employees, vendors, VIP guests and attendees at the Air & Sea Music Explosion in Miami Beach. Stone Labs has secured an additional 43 entertainment venues and events, which require COVID-19 testing in 2021. And we believe we can, we can continue our deployments with Stone Labs through 2021 and beyond. In total, we believe testing revenue could approach $15 million to $20 million in 2021. However, our goals in the medical vertical extends far beyond COVID-19. We believe we can deploy a fleet of medical testing and treatment modules, offering an array of best-in-class diagnostic testing and healthcare delivery. To name a few some of these diagnostic offerings can include but are not limited to cancer, diabetes, STDs, UTIs, and drug testing. It is our total belief that the future of healthcare solutions is local, nimble and point-of-care based. And we believe we check all of those boxes. Turning to our manufacturing activities, as the years of outsourcing we have transitioned to in-house production. After acquiring the SG Eco manufacturing facility in 2020, we announced a new 10,300 square foot building extension of the facility in January. Our plan is to grow our manufacturing footprint methodically coordinated with demand and in the most cost effective manner. The factory will soon be near capacity, and we are almost done with a number of legacy projects. These commitments were executed by prior ownership group and will be completed at a cash loss in 2021. Going forward, we expect to complete future manufacturing projects at a margin of approximately 15% especially the projects of SG Development Company. Now turning to our development activities. In the first quarter we formed SGB Development Corp or SGBDevCo to deliver single family homes, town homes and for-rent apartment units across the country. SGBDevCo will provide a host of benefits to SG Blocks including keeping our manufacturing facilities near 100% capacity, providing steady and visible flow of manufacturing income. Two, thriving project fees of all sorts, three, potential profit sharing from asset sales upon completion. In February, we executed our first contract to acquire Lago Vista, a 50 acre site on Lake Travis on the Colorado river in thriving Austin, Texas. Lago Vista will contain up to 225 condominium units, as well as amenities including a community center, Marina, and health club. Earlier this month, we acquired the site and we are currently finalizing plans, with ground breaking expected in Q2 2022. The project is expected to be funded with third party debt and equity, and we will partner with an experienced developer to complete the project. Overall, we project approximately 20 million in manufacturing revenue as the project is completed over 24 months, providing SGDevCo with a profit share anticipated to be no less than $5 million at the project's conclusion. We are thrilled with the launch of SGBDevCo and can't wait to share additional details on Lago Vista, as well as the other projects on which we are working in the coming weeks and months. Now, we will discuss financial results. Beginning with the income statement, revenue for the first quarter 2021 is expected to be between $8.9 million and $9.2 million, compared to approximately $199,000 for the first quarter of 2020. Gross profits for the first quarter of 2021 is expected to be between $900,000 and $1.2 million compared to a gross profit of approximately $46,000 in the first quarter 2020. The gross profit margin in the first quarter 2021 is expected to be between 10% and 13% compared to a gross profit margin of approximately 23.1% for the first quarter 2020. The gross profit in the first quarter 2021 includes a legacy contract commitment, which started and completed in the first quarter that incurred a loss of approximately $1 million due to cost escalations and materials related to COVID-19 and other indirect costs. Operating expenses for the first quarter 2021 is expected to be approximately $2.4 million compared to approximately $795,000 in the first quarter 2020. Embedded in the first quarter 2021 operating expenses are approximately $550,000 in one time startup costs relating to the certification and opening of the memorial healthcare laboratory, and the opening and the subletting of the Chicago area testing facility, as well as due diligence and business development expenses on other potential projects. For the first quarter 2021, net loss attributable to common shareholders is expected to be between $2.0 million and $2.3 million, or negative $0.23 to $0.26 per share, compared to a net loss of approximately $747,000 or negative $0.64 per share in the first quarter of 2020. The net loss attributable to common shareholders includes these following items. Approximately $500,000 in non-cash, depreciation and amortization expenses, non-cash stock compensation expense and litigation expense as explained in the adjusted EBITDA loss. Approximately 550,000 of one time start-up expenses for all newly launched companies. And as mentioned, an approximate $1 million loss due to a legacy contracts submitted related to the SG Echo acquisition. Adjusted EBITDA loss for the first quarter of 2021 is expected to be between $1.5 million and $1.8 million, compared to a loss of $527,000 in first quarter 2020. Turning to the balance sheet, the Company had cash and cash equivalents of approximately $10.5 million [ph] as of March 31 2021, compared to approximately $13 million at December 31 2020. At March 31 2021, the company had total assets of approximately $27.2 million compared to approximately $26.9 million at December 31 2020. We have a strong and flexible capital structure with no debt and believe we are capitalized to support our working capital requirements. Now for closing comments 2021 and beyond. In summary, the first quarter of 2021 accelerated the trajectory for last year. We have recurring and contracted project work that provides visibility into future revenue and earnings. We control our manufacturing facility and have plans to maintain steady activity to maximize efficiencies and margins. We are underway with SGBDevCo, which we believe has the potential to produce huge opportunities, allowing us to be selective of the best and most efficient sites. We look forward to reporting on other SG communities in the coming weeks and months. The company is now positioned for a period of growth based upon our ability to position ourselves in the three major verticals. Our team is talented and hardworking. We realize our ultimate success and the financial success of our shareholders will be determined by our ability to execute on the business that we've secured, we will work tirelessly to make sure this happens. We appreciate the loyal support of all of our stakeholders and look forward to a successful and profitable future. We hope that the income generated from SGDevCo sales will offer the company potential opportunities to consider share repurchase and dividend programs. We have enacted [ph] several times about Q&A sessions at the end of earnings calls. It has been our experience there is often not much value in those sessions. And there is never an opportunity for follow up questions or follow up answers. We do look forward to speaking with shareholders and for the past several quarters we have coordinated individual or small group investor calls for the days following our release. These calls have proven very productive, and we would encourage interested parties to contact Stephen Swett of ICR of Investor Relations to coordinate an appointment should you wish to speak or meet management's. Thank you and have a great day.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.
End of Q&A: